Todd Stender - Wells Fargo Securities: Jerry Doctrow - Stifel Nicolaus Omotayo Okusanya - Jefferies & Co.
Kevin Ellich - RBC Capital Markets:
Operator: Good day, and welcome to the Senior Housing Properties Trust, first quarter 2010 financial research conference call. This call is being recorded. At this time for opening remarks and introductions, I would like to turn the call over to the Vice President of Investor Relations, Mr. Tim Bonang. Please go ahead sir.
Tim Bonang: Thank you and good morning everyone. Joining me on today’s call are David Hegarty, President and Chief Operating Officer; and Rick Doyle, Chief Financial Officer. Today’s call includes a presentation by management, followed by a question-and-answer session. I would also note that the recording and transmission of today’s conference call is strictly prohibited without prior written consent of SNH. Before we begin today’s call, I would like to state that today’s conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and Federal Securities laws. These forward-looking statements are based on Senior Housing’s present beliefs and expectations as of today, May 4, 2010. The company undertakes no obligation to revise or publicly release the results of any revision to the forward-looking statements made in today’s conference call, other than through filings with the Securities and Exchange Commission or SEC regarding this reporting period. In addition, this call may contain non-GAAP numbers, including funds from Operations or FFO. A reconciliation of FFO to net income, as well as components to calculate AFFO, CAD or SAD are available on pages 11 and 14 on our Q1 supplemental operating and financial data package found on our website at www.snhreit.com Actual results may differ materially from those projected in any forward-looking statements. Additional information concerning factors that could cause those differences is contained in our 2010 Form 10-Q to be filed with the SEC by the end of the day tomorrow. Investors are cautioned to not place undue reliance on any forward-looking statements. With that, I would like to turn the call over to Dave Hegarty.
David Hegarty: Thank you Tim, and good morning everyone, and thank you for joining us. For the first quarter 2010, we generated $0.43 pre share of funds from operations, which is consistent with consensus expectations, and once again we ended the quarter with a strong balance sheet. SNH continues to be lowly levered with no-near term debt maturities. Since our last conference call two months ago, things have been quite on the transaction front. During the quarter, we funded capital improvements and expansions at our accumulating properties, and on April 1 we closed on an acquisition on the medical office building located in Colorado. Additionally, subsequent to the quarter we issued $200 million of senior unsecured notes due in 2020, and have given notice to redeem the $97 million of senior notes due in 2015. Before I get into the details of our portfolio, the acquisition environment, and the outlook, Rich will review our results for the quarter.
Richard Doyle: Thank you Dave, and good morning everyone. Looking first to the income statement, rental income increased by $12.1 million to $80.4 million, or 18% compared to the first quarter of 2009. General and administrative expense increase $750,000 or 16%, to $5.5 million, and depreciation expense increased by $3.9 million or 21% to $22.3 million, compared to the first quarter of 2009. The year-over-year quarterly increase and rental income, G&A and depreciation expense, reflects properties acquired since January 2009, partially offset by the sale of four properties in 2009. Property operating expenses increased by $1.4 million or 48%, to $4.4 million due to our acquisitions of MOBs since January 2009. Percentage rent revenue from our senior living tenants for the first quarter of 2010 increased 19% to $2.5 million versus the first quarter of 2009. The percentage rent revenue now includes that 30 senior living communities acquired in 2008, leased to Five Star Quality Care and are based on 2009 revenues. In 2010, 170 of the 190 senior living communities leased to Five Star and all of the Sunrise Senior Living and Brookdale Senior Living Communities are on this revenue sharing formula. Interest expense for the first quarter of 2010 was $7.6 million higher versus the 2009 period, due to the interest in amortization of deferred financing fees relating to our new agency debt with Fannie Mae, offset by lesser amount outstanding under our revolving credit facility at lower interest rates. For the first quarter of 2010, our FFO was $54.8 million or $0.43 per share, compared to $52.1 million or $0.44 per share for the same period in 2009. In April, we declared a dividend of $0.36 per share, which represents a payout ratio of 84% of our first quarter FFO. During the first quarter, we have assets of $6.2 million into revenue producing capital improvements. On April 1, we acquired one medical office building located in Colorado for $4.5 million. We funded this acquisition using cash on hand, and by assuming a mortgage loan totaling $2.5 million, with an interest rate of 6.7%, but going in cap rate on this investment is 9.5%. At the end of the quarter we had $58 million outstanding on our revolving credit facility. Two series of unsecured senior notes of $322 million, and mortgage loans and capital leases totaling $658 million. In April, we sold $200 million of senior unsecured notes, with interest at a fixed rate of 6.75% per annum due in 2020. A portion of the net proceeds were used to repay the $58 million in-borrowings under our revolving credit facility, and we intend to use the remaining net proceeds to fund the redemption of our $97.5 million outstanding seven and seven eight senior notes due in 2015, as well as for general business purposes, including pending and possible future acquisitions. In April, we called all of the outstanding senior notes due in 2015 for redemption on May 17. FFO for the second quarter will be negatively impacted by $0.01 to $0.02, due to the negative arbitrage of holding excess cash until the 2015 notes are redeemed and the excess proceeds are fully invested. We currently have $225 million of senior notes due in 2012. Several investors inquired as to why we did not repaid these notes given the high interest rate of eight and five eights, along with a more near term maturity. Onerous yield maintenance penalties on the 2012 notes discouraged us from prepayment, but we will continue to look for opportunities to prepay these. On March 31, our total debt was approximately $1 billion, and our equity was $1.9 billion for a ratio of debt to total book capital of 36%. On a market basis, our debt to total market capitalization was 27%. After we redeem our senior notes due 2015 in May, our total debt to total book capital would still be 36%. Other than the 2012 senior notes 70% of our debt is not due until 2019 or later. Today we have the entire $550 million credit facility available to fund future investments. Our revolving credit facility expires on December 31, 2010; however, at our option, we can extend the maturity date one year until December 31, 2011. We continue to monitor banking market conditions, and at this time we have not yet made a decision to either pursue a new revolving credit facility this year or exercise our one year expansion option. Now, I will turn it back to Dave for a discussion about the performance of the portfolio and the investment environment.
David Hegarty: Thank you, Rick. As you can hear from Rick’s comments our operating performance is solid, the dividend is well covered, and the balance sheet is well positioned for several years. We all know the sustainability of our operating results is depending on the quality and the performance of our tenants and the management of the properties leased to them. Our existing portfolio continues to perform comfortably in this difficulty environment. Our largest tenant Five Star reported its earnings yesterday. They reported normalize earnings of $9 per share, generated cash flow from operations of approximately $15 million, had their $35 million revolving credit facility completely available, and little capital needs for several years. As a reminder, Five Star will be receiving a net cash increase of approximately $35 million from the UBS put right on their option rate securities next month in June 2010. For the 12 months ended December 31, 2009, the cash flows for all the leased properties we owned that Five Star operates cover the rent obligations by a strong 1.34 times, computed on an EBITDA basis, and a cushion of approximately $60 million. The occupancy for total leases with Five Star have ticked down by 10 basis points, for the 12 months ended December 31, 2009, compared to the 12 months ended September 30, 2009, while the other two leases have been flat on a same period. But as Five Star reported yesterday, occupancies have stabilized over the past two quarters, and appear to have bottomed out. 14 high-end retirement communities released to Sunrise also performed well. The rent coverage was 1.4 times and our occupancy averaged 89%. As a reminder, these leases are guaranteed by Mary [ph] International and we continue to monitor Sunrise as a company, but the facilities are being operated well and the occupancy and rent coverage are holding up well. The Brookdale properties continue to be stable with 91% occupancy, and over two times coverage. Our smaller operators continue to perform at about two times coverage as a group. Additionally, the two longest tenants cover their rental obligations over two times and have been surviving the economic downturn remarkably well. On the medical office-building portfolio, occupancy was 96% at December 31, 2009 for the 56 properties we own, and 97% at March 31, 2010. Most of these properties are long term needs for strong credit tenants, but even the multi tenant buildings are performing at or better than expected levels. There has been no turnover in the medical office lease, but renewals on new leases have approximated existing rents. This quarter we have 36,000 square feet of property space come up for renewal, 33,000 square feet was renewed plus we had new leases with 12,000 square feet. Tenant improvement enriching commissions for the quarter were around $152,000. On April 1, we acquired one medical office building, Class-A surgery center, with $13,720 located in Colorado was leased to an A-rated tenant for ten years on a supplement basis. The purchase price of $4.5 million as Rick mentioned is growing cap rate in this investment by 9.5%. As with other sectors of real estate, we are not seeing as many investment opportunities as we would have expected. We are seeing several individual assets and small portfolios to consider in both the senior living and medical office property spaces, but many of the issues are in our opinion not worth the debt on the property. We have a handful of properties that I am optimistic we’ll acquire in the 8.5% to 9.5% cap rate range. For instance we have one 55,800 square foot medical office building under agreement for $12.2 million, which is in that cap rate range. We will continue to exercise discipline and not chase transactions for the sake of putting money to work. Subsequent to quarter end, our board declared a cash dividend of $0.36 per share, which is a payout ratio of 84% of the fourth quarter’s FFO. Our board evaluates dividend on a quarterly basis, and the board considers the dividend to be adequately funded. Based on our current payout ratio, we’re generating $35 million to $40 million of excess cash flow per year, to provide a cushion for the dividend should any operator experience difficulties or any other unforeseen needs, the surplus cash flow is currently used to fund improvement financing, make new investments or prepay debt. We have a solid balance sheet, actual liquidity, a well performing portfolio, and are constantly evaluating growth opportunities. Given our sides, it’s not necessary for us to chase the $1 billion transactions that a positive impact to the bottom line. In conclusion, we will continue as always to grow North of the portfolio. Seek excellent investment opportunities while prudently managing our liquidity, and focus on gross cash flow that’ll ultimately increase the dividend. With that, I’ll turn it over for questions.
Operator: (Operator Instructions) Your first question comes from Todd Stender with Wells Fargo Securities.
Todd Stender – Wells Fargo Securities: Hi guys. Good morning. Just if you could touch on the acquisition you made in April, the MOB in Colorado, you mentioned a cap rate of 9.5%. Is it affiliated, is the building affiliated with any local health system, and if you could just talk about maybe just some of the lease terms of existing leases?
Richard Doyle: Sure. In that particular case the tenant is HCI health one company, so it’s integrated credit in that situation. This particular surgery center is leased to one tenant, and it has ten years left remaining on the lease. We acquire the property with the lease in place, and we also have other leads and some possibilities in that marketplace, so we are not viewing this as a normally just a standard long transaction. As far as the lease goes, the cap rate we’re using is a cap rate of 9.5%. That’s got a ten-year lease; typically slice about 70 or 80 basis points on a cash basis and increases over the term of the lease.
Todd Stender – Wells Fargo Securities: Okay, thanks. And I think just switching gears, at the end of the fourth quarter, I believe there were two assisted living facilities teed up for sale. Any update on those?
Richard Doyle: No, it’s still available for sale and we’ve got a list on our financial. One is currently empty and the other one is probably about 80% occupancy at the moment.
Todd Stender – Wells Fargo Securities: Okay, and last question, just when you are looking a competition for assets, is it a different competitor in the 15,000 square foot MOB versus say the 50,000 to 60,000 square foot MOB?
Richard Doyle: It is and I believe we are not going to pursue a number of transactions in that, lets say less than a $10 million, but on occasions one just my make sense, and since we have our full staffed acquisition group and diligence team, it might make sense in certain cases, and I feel this is more of an exceptions of the rule. In the competition, I think that I’m totally aware of all of our competition in this particular transaction. I do think that certainly a lot of the health care reach in that facility is something of this side, I would say if we are running into competition to see the local people or the healthcare -- Health Trust of America or Grubb and Ellis Healthcare too in this competition.
Todd Stender – Wells Fargo Securities: Okay, thanks guys.
Operator:
Jerry Doctrow – Stifel Nicolaus: Thanks. Dave, just back to clarify what you said, so what’s the initial cash yield on your MOB acquisition. 9.5% I think you said was over the lease term?
David Hegarty: Right and that’s what would go in to the FFO calculation, that’s why we used that number, but the initial cap…
Jerry Doctrow – Stifel Nicolaus: Actually it’s a straight line for it?
David Hegarty: Yes, that’s correct; and the initial cap yield in this case would be about 8.6%.
Jerry Doctrow – Stifel Nicolaus: Okay, and just a couple of other things I want to follow up on; one is. I wanted just see and maybe this is in the supplement; I just didn’t have a chance go through it, so how much is the rents you are getting that’s related to kind of the revenue bumps now, and I’m trying to think about how we’ll model that going forward, because as you said, Five Star had some pretty good numbers. I’m trying to think what kind of growth makes sense to assume going forward?
David Hegarty: Well, actually for the first quarter this year was $2.5 million was the percentage rent and a…
Richard Doyle: Last year in the first quarter it was $2.1 million, and increased this quarter to $2.5 million. For the year last year Jerry it was $9.1 million. So I don’t know if you want to annualize the first quarter with the $10 million.
Jerry Doctrow – Stifel Nicolaus: Okay, and the deal is its 4% of their growth in revenue, so if I am assuming that $2.5 million is your sort of share, and to buy back by like 4%, I am getting your sense of what revenue base is and I am assuming that revenue is growing 2.5% a year or something. I can sort of calculate it out; is that kind of the right way to think about it?
David Hegarty: Yes that’s correct, that would be a formulated way of calculating it.
Jerry Doctrow – Stifel Nicolaus: Okay, and you got a 4% of any growth basically?
David Hegarty: That’s corret.
Jerry Doctrow – Stifel Nicolaus: Okay, and then I wanted to kind of come back to then just a strategy a little bit. I mean you talked about acquisitions, and I certainly don’t think you’re alone and not seeing a flood of stuff coming, you are kind of picking up ones and twos. In terms of what you are looking at these days, a preference for MOBs versus senior housing given what you are seeing in the acquisition environment, would you change that around at all. I’m just trying to get a little more color. I know you are trying to do things and you mentioned that the one in Colorado was sort of where you had other properties. Are you trying to build regional concentrations or just trying to understand strategically maybe what you are thinking about?
David Hegarty: Well, we currently have an acquisition team, and their full time job is to evaluate investment opportunities, and present them to us for consideration. So we are completely analyzing anything having transaction that we are kind of aware of in the marketplace, as well as any medical office building transaction we come aware. There is a filtering process, maybe our evaluation comes out where it’s not worth the debt on the property. So many issues affiliated with a property that we won’t pursue it further, and its really just down to what if -- it’s something that we would consider and then what it comes down to is how aggressive we want to be on pricing, and in certain markets will be a little more aggressive than others, when concerning both this medical office space as well as the senior housing space. Frankly I’d say, today at least for this first quarter, we have seen more opportunities on the medical office building side than we have on the senior housing front, and it’s pretty quit on the senior housing front. Just again ones and twos, but not actually a lot of portfolios or transactions of suspense.
Jerry Doctrow – Stifel Nicolaus: Okay, and are you sort of waiting for broker deals or are you sort of working with maybe price charter to just look for strategic opportunities as well?
David Hagerty: We will do both as far as it’s open for opportunities in the local market places, and we also are working with certainly a network of brokers, and some national brokers as well as some local finders.
Jerry Doctrow – Stifel Nicolaus: Okay, all right. I think that’s all from me. Thanks David.
David Hagerty: Welcome.
Operator: And our next question is from Omotayo Okusanya with Jefferies & Companies. Please go ahead.
Omotayo Okusanya – Jefferies & Co.: Yes, good morning. A quick question; could you talk a little bit about your outlook for the lifetime piece of your portfolio was this to that area?
David Hagerty: Well, I mean its well it’s a relatively small piece of our entire portfolio, and the particular properties are have been doing well. As far as new opportunities out there, I cannot say we’ve seen a lot of opportunities. Again an occasional transaction is considered. I think as far as Alexandria and Bio-Med need to be their main competition, and I think most of the companies are going with people who are developers; who can do a bill to suit so until unique. Clearly we don’t have that capacity nor desire to have that. So I don’t think we are seeing as many transactions as maybe some of the others are seeing, but there aren’t that many existing assets being traded that are stabilized property.
Omotayo Okusanya – Jefferies & Co.: Okay, that’s helpful. Could you just help us with what you are seeing in regards to first quarter trends, your tenants versus the fourth quarter trends that were reported?
David Hagerty: Well lets see, I believe most of them, on the housing side have announced their results and discussed their first quarter occupancy levels and so on. We truly are seeing a stabilization occurring. Five Star has had a bit of an up-tick in occupancy in the first quarter. We have seen Brookdale, I believe it was down a little bit, and Sunrise was also down for the first quarter, but all these movements have been pretty much consistent with the NIC data that just came out on April 29, where they indicated that overall occupancies have declined a bit, and they are noting that there does seem to be a stabilization going on. The rate of decline has greatly been reduced and we are seeing it definitely bottoming out. Again, there is virtually no meaningful new construction going on. So I think it’s very much tied into the general economy, the housing market, the unemployment rate and so on. It’s the consumer confident ultimately that’s going to move the occupancy levels up in a meaningful way.
Omotayo Okusanya – Jefferies & Co.: Sounds good. Thank you.
David Hagerty: Your welcome.
Operator: Your next question comes from Kevin Ellich with RBC Capital Markets.
Kevin Ellich – RBC Capital Markets: Good morning guys. Just wondering what would be your pipeline flowing down a little bit. Just wondering if there is any other property types that are looking attractive to you guys that you could may be move in to. You indicated that the one acquisition has an surgery center, so you’ve spotted that avenue.
David Hagerty: Sure, that’s definitely of interest to us. All the property types at various points of time, we looked at our hospital centers and all of those related medical office properties are of interest to us. One of the challenges at the development center is that each location is relatively small and the dollars involved is not that significant, so you have to get a meaningful portfolio to be worth a while, but all of those within the healthcare area are of interest to us, and we are evaluating anything that offers those type of services. We are not going outside of medical office building, and senior housing or healthcare related properties.
Kevin Ellich – RBC Capital Markets: Got you, okay. Did you say in the prepared comment that, the wellness, the Lifetime Fitness centers are doing well, because I think someone else is having trouble, some issues with the wellness centers.
David Hagerty: Our continue to perform well. What we’re seeing is some of the ancillary services like Spar services, personal trainer and so on, that’s dropped off a bit, but the basic membership and so on is holding up very well. I think I found a little bit of a slip in coverage, but not a large one that’s still over two-time coverage. I know one location is undergoing, it’s getting up in renovations right now and stuff like that, so I don’t know if it can impact coverage there.
Kevin Ellich – RBC Capital Markets: Okay, and actually that leads into my last question guys. The purchase improvements going forward, it seems kind of low this quarter. I know Five Start indicated yesterday or last night that I think they sold about $6 million of CapEx to you guys. Just wondering what your outlook is on that front and what you guys are budgeting.
David Hegarty: Well, that is a lower number than it has been historical, and its kind of lumpy each quarter as it comes in, but generally we’ve seeing a on the Five Star out there, that there’s a few of their expansions that they were expecting to do and just feel that now is not the time that they wanted to expand some of their facilities, but as far as day-to-day CapEx, we monitor all of our assets and they are being well maintained during the period. So from that perspective we are not concerned, but it’s a low number than it has been.
Richard Doyle: I think Kevin you also asked what are we performing for that. I would say $35 million to $40 million this year. Like Dave said, it sued to be $12 million to $15 million a quarter but it might be more to the $35 million range in 2010.
Kevin Ellich – RBC Capital Markets: So Q1 really isn’t a good run rate to look at, we should definitely pump that up.
Richard Doyle: We would hope that that would come up in the next few quarters.
Kevin Ellich – RBC Capital Markets: Got you, thanks guys.
David Hegarty: You’re welcome.
Operator: Your next question is from Andrew Yu with Bank of America/Merrill Lynch. Please go-ahead.
Andrew Yu - Bank of America/Merrill Lynch : Thank you, and good afternoon.
David Hegarty: Hi
Andrew Yu - Bank of America/Merrill Lynch : When I look at your rent coverage for your Five Start, the four leases, it looks like lease number one and two continues to improve, and lease three and four continues to deteriorate a little bit. Can you talk about what’s going on in those four leases and help me understand.
David Hegarty: Sure, lease number three, that portfolio is comprised mostly of the large rental CCIC type properties, and the place that they are being effected most by the economy is the independent living component, and to some degree the skilled nursing component. So that’s with a little bit of softness in those two components while the AL and ALZ components have held up very well. It’s also a little bit a seasonally as far fourth quarter of ’09, but lease number four, in that particular case, there’s 26 properties in that portfolio, and there are about six properties that are below one-to-one coverage by a meaningful amount. So if you’d take those six properties out, you’d be at almost 1.4 times coverage, and of those six, three are formally received property that have had some difficulty [Inaudible] turn them around because they had some regulatory issues when things were handed over to Five Start. Then there is one major property down in Florida that’s undergoing major renovations, and that’s like at about 0.65 times coverage, and then there’s one or two other just common properties out there and we’re trying to turn it around. So it brought us down to really six properties that are driving those numbers down considerable.
Andrew Yu - Bank of America/Merrill Lynch : Okay, then if I go and look at the occupancy for your lease number two verses four for instance, it looks like lease number two has a lower occupancy at 82%, and lease number four has a higher occupancy 85%, yet the coverage is higher for lease number two, is that because, are you getting a higher rental from those leases or like how should I think about that?
David Hegarty: A couple of things, one is lease number two [Inaudible] and specifically the one around occupancy is about 60%, so that weighs down that number a bit and put just rental on that.
Richard Doyle: Yes, that’s effective I suppose too. We have hostels for weighing down lease number two; plus the size, these are weighted on the annual cover rent, and the rent on lease number four isn’t as much as lease number two. We have some strong properties on there, on lease number four.
David Hegarty: Yes, some proportionate ratings.
Richard Doyle: Yes.
Andrew Yu - Bank of America/Merrill Lynch : Okay that makes sense. One last question, as you think about the rest of this year and as you look across your different asset types, where do you see occupancy settling or rather for the different asset type, which asset type do you think will improve the most in occupancy by year end.
David Hegarty: Lets see, well in the free letting assets, instead of like independent, occupied and skilled. Well it seems to be holding up well and I think that will continue to improve from here; again because these drive decisions, and no new products or consequences coming online, and so I think that will show the most noticeable improvement. I think independent living will still be quite a while for everything to [Inaudible] to improve to have a meaningful impact on improving the IL component. In fact the number of operators are looking to find ways to convert their IL unites to assisted living because there is a demand there. Homes, I think that will be also slow to increase, because every state I know is looking at programs to take care of people at home or find alternative settings, but there is a lot of pressure working against these nursing homes in that sense. We have hospitals that are probably pretty steady and so on and the MOB’s. I think all of those should hold up really well. The MOBs, I would expect I think the healthcare reform should be further positive for the medical office building front, and I continue to see that improving occupancy from here.
Andrew Yu - Bank of America/Merrill Lynch : Great, thank you.
David Hegarty: Your welcome.
Operator: This concludes today’s question-and-answer session. At this time I would like to turn the conference back over to Mr. David Hegarty; please go-ahead.
David Hegarty: Thank you all for joining us today. We will be at the conference in Chicago in June and we hope to see you there. We look forward to updating you on our progress on the second quarter conference call in August. Thank you. Have a good day.
Operator: This does conclude today’s conference call. Thank you for your participation.